Operator: Good day, and thank you for standing by. Welcome to the Q2 2022 NCS Multistage Conference Call. At this time, all participants are in a listen-only mode. After the speakersâ presentation, there will be a question-and-answer session.  Please be advised that today's conference is being recorded. I would now like to turn the conference over to Ryan Hummer. Please go ahead.
Ryan Hummer: Thank you, Christy, and thank you for joining the NCS Multistage second quarter 2022 conference call. Our call today will be led by our CEO, Robert Nipper, and I'll also by comments. I want to remind listeners that some of today's comments include forward-looking statements such as comments regarding our future expectations for financial results and business operations. These statements are subject to many risks and uncertainties that could cause our actual results to differ materially from any expectation expressed herein, including the impact of the COVID-19 pandemic and Russia's ongoing invasion of Ukraine on the global economy, oil demand and our company. Please refer to our latest SEC filing for risk factors and cautions regarding forward-looking statements. Our comments today also include non-GAAP financial measures, including adjusted EBITDA, free cash flow and net working capital. The underlying details and reconciliations of non-GAAP to the most comparable GAAP financial measures are included in our second quarter earnings release, which can be found on our website, ncsmultistage.com. I'll now turn the call over to our CEO, Robert Nipper.
Robert Nipper: Thanks, Ryan. Welcome to our investors, analysts and employees joining our second quarter 2022 earnings conference call. Our performance in the second quarter was largely in line with the guidance we provided in early May. I'll briefly discuss our results and the outlook for each of the U.S., Canada and international markets. Starting with the U.S. our revenue of $12.1 million in the second quarter was at the midpoint of our guidance of $11.5 million to $12.5 million. Our revenue performance for the quarter increased by over 30%, as compared to both the first quarter of 2022 and the second quarter of 2021, driven by increases in activity and fracturing systems and repeat precision. We continue to be encouraged by field trial progress for our new modular Purple Fire perforating gun system and expect revenue for that product line to continue to grow throughout the year. During the second quarter, we had successful initial trials of our Purple Fire Express system, an integrated high quality downhole tool string for plug-and-perf completions, which includes the composite plug, disposable setting tool, power charge and the modular perforating gun system. We're also experiencing growth in our fracturing systems business in the U.S. with opportunities in multiple operating areas for the second half of the year, including Alaska, the Powder River Basin and Mid Continent, where the benefits of our technology are well known. Our Canadian revenue of $12.8 million in the second quarter exceeded the high end of our guidance of $11.5 million to $12.5 million, as market activity remains strong, despite seasonality related to spring breakup and wet weather conditions in June, which delayed customer activity. Our sales and operations teams in Canada continue to perform exceptionally well. We are maintaining the strength of our fracturing systems product line and are leveraging that strength to grow our customer base and other product lines. Our Tracer Diagnostics business in Canada is performing very well also providing valuable insight to our customers, who are in turn utilizing the information to improve their completions and enhanced all recovery strategies. In addition, we've more than doubled the number of customers purchasing PurpleSeal composite plugs in Canada thus far in 2022, providing opportunities not just for that product, but for our full wellbore offering. We're encouraged by discussions with our customers about both the timing and the scope of their expected activity after spring breakup. Activity in the third quarter of 2022, which is already off to a good start with the current rig count over 90% of peak Q1 levels, could be as robust as in the first quarter, reflecting the strong economics available to our customers in Canada. Our international activity improved in the second quarter relative to the first quarter with revenue of $2.5 million, however, fell below our expectations of $3 million to $4.5 million of revenue. Although our international activity in revenue increased during the second quarter of 2022, we believe that it will continue to increase as we move into the second half of the year. We expect to fall short of our initial expectations for revenue from our international operations in 2022. One highlight for the quarter was our initial sale of sliding sleeves to a super major customer operating in the U.K. North Sea. We currently expect these sleeves to be installed later this year and we will deliver a second order of sleeves for this customer before year end. Expanding our customer base in the North Sea has been a priority as it will allow us to increase our scale and presence in the market and better and more efficiently support all customers in the region. We continue to be impacted by supply chain and labor cost increases, including increases in employee wages, steel, fuel and fiberglass costs, as well as extended lead times for purchases and higher third-party service and transportation charges. We have implemented price increases in surcharges and expect to initiate future price increases as our input costs continue to rise. From a timing standpoint, we incurred cost increases in early 2022 before we receive the full benefit from our pricing actions, which has pressured our gross margins during the first half of 2022. We currently expect gross margins to improve in the second half of 2022 as the benefits of the price increases materialize. We maintain our strong balance sheet with approximately $7 million in net cash and an undrawn revolver as of June 30 of 2022. Our net capital expenditures for the quarter were only $0.2 million and have been $0.3 million through the first six months following both the capital like nature of our business and our continued financial discipline. Our entire team in NCS has done a tremendous job and I'm proud to say that we have had zero recordable incidents in 2020, 2021 and thus far year-to-date 2022. Now I'll ask Ryan to discuss our financial results in more detail.
Ryan Hummer: Thank you, Robert. As reported in yesterday's earnings release, our second quarter revenues were $27.5 million, which is 28% higher than the prior year second quarter. On a sequential basis, our revenue in the second quarter was 30% below revenue in the first quarter of 2022 with increases of 34% and 65% in the U. S. and international markets respectively offset by a seasonally-driven 55% decrease in Canada. Gross profit, which we define as total revenue, less our total cost of sales excluding depreciation and amortization expense, was $8.9 million in the second quarter or 33% of revenue. This was below our guided range of 36% to 40% for the quarter, and compared to $7.5 million or 35% of revenue in the prior year second quarter. For a sequential comparison, our gross profit was $14.9 million or 38% of revenue in the first quarter of 2022. Our gross margin percentage decreased primarily due to the mix of our geographic revenue contributions and cost increases associated with our supply chain, as well as the impact of fixed costs on the seasonally lower second quarter revenue. Our selling, general and administrative or SG&A expenses were $13.7 million in the second quarter, which was $1.9 million higher than second quarter of last year, primarily driven by increased compensation expense, including salary and benefit restorations and salary increases. Our SG&A expense for the second quarter of 2022, compared favorably to our guided range of $14.5 million to $15.5 million with favorable variances in several categories, including share-based compensation and litigation. Our reported SG&A expense includes share-based compensation and certain non-recurring expenses, including litigation. For the second quarter, the non-recurring litigation expenses totaled $1.1 million and non-cash share-based comp expense totaled $0.8 million. Our adjusted EBITDA in the second quarter was negative $2 million, which compared to negative $1.6 million in the prior year second quarter. During the second quarter of 2022, our depreciation and amortization expense was $1.1 million and there was minimal income attributable to our non-controlling interest in a repeat precision. Turning now to cash flow items in the balance sheet. Our cash flow from operations for the second quarter was $0.9 million and our net capital expenditures were $0.2 million, resulting in free cash flow for the quarter of $0.7 million. The modest free cash flow was primarily related to a seasonal reduction in net working capital. On June 30, 2022, we had $14.9 million in cash and total debt of $8.2 million with our new ABL undrawn. The borrowing base under our new asset based lending facility at June 30, 2022 was $12.8 million. In addition, NCS had net working capital of $49.7 million at June 30, 2022. Turning now to guidance for the third quarter. We currently expect our third quarter total revenue to be between $38 million and $42 million. We expect our U.S. revenue to be between $12 million and $13.5 million, our international revenue to be between $3 million and $4 million recovering from lower levels in the first half of 2022, and we also expect our Canadian revenue to be between $23 million and $24.5 million as activity rebounds after spring breakup. We expect our gross margin in the third quarter to be between 40% and 44%, reflecting the increased activity in Canada, as well as higher international revenue contribution. We expect our reported SG&A expense to be between $14.5 million and $15.5 million for the third quarter, which includes approximately $0.8 million in non-cash share-based compensation expense and approximately $1.7 million in litigation expenses. We expect our third quarter depreciation and amortization expense to be approximately $1.1 million. I'll hand it over to Robert to discuss our 2022 full-year guidance and for closing remarks.
Robert Nipper: Thanks, again, Ryan. Our full-year guidance for 2002 is as follows: we currently expect full-year revenue of $145 million to $160 million and full-year adjusted EBITDA of $13 million to $16 million consistent with the calculations in our earnings release. The revenue range is unchanged, however, we expect a lower contribution from international markets, due to project opportunities being delayed offset by higher contribution from our U.S. and Canada. We have lowered the high-end of our EBITDA range, due to continued cost pressures throughout our supply chain and mix impacts related to the composition of our revenue. We expect gross capital expenditures for 2022 to be $1 million to $2 million, a reduction of $1 million from our initial expectations for the year. Given our growth expectations, we anticipate net working capital to be a meaningful use of cash in 2022 leading to modestly negative free cash flow for the year. Underpinning our revenue growth expectations is anticipated industry activity growth of 15% to 25% in Canada. We expect wells drilled and completed in the U.S. in 2022 to increase by at least 20% and 10%, respectively as compared to 2021. Finally, we expect international industry activity to grow by at least 10% in 2022, though our international revenue growth may lag the market. We expect our North American revenue growth to exceed the growth in underlying industry activity through market share increases in selected product and service lines and through adoption -- continued adoption of our newly introduced technologies like our Purple Fire perforating gun system. We also expect that the full impact of price increases achieved with our customers will have more meaningful impact in the back half of the year. We expect that the achievement of our annual adjusted EBITDA guidance range will be weighted toward the second half of the year, reflecting both higher revenue and the benefit of pricing increases achieved during the first half of the year, which lagged the impact of increased cost of sales and personnel cost. Our guidance is based on current market conditions, which could change due to a number of factors, including but not limited to developments related to Russia's invasion of Ukraine and changes in the global economic outlook, including the impact of Central Bank interest rate increases to combat inflation. Before we open up the call for Q&A, I'll close with a couple of brief comments. We continue to build on our strong performance as we execute our growth initiatives, achieving the midpoint of our annual revenue guidance would result in revenue growth of approximately 30%. We have the infrastructure in place to support revenue growth, providing leverage to grow future earnings. We continue to successfully introduce new technologies that meet the needs of our customers adding to our portfolio and expanding our addressable market. We are diligently managing through the supply chain challenges that we and others in our industry are facing and are positioned to benefit from price increases achieved earlier this year. Our team at NCS continues to do a tremendous job operationally with outstanding field execution and an excellent safety record and we maintain a very strong balance sheet and liquidity position providing us with strategic flexibility. And finally, as many of you know, we announced Sunday afternoon that effective November 1, I'll be retiring. Last week, the NCS Board of Directors voted unanimously to appoint Ryan Hummer as the Chief Executive Officer. I've worked closely with Ryan over the last eight years and believe strongly that he is exactly the right choice to lead the company through this next stage of the company's life. I'll continue to hold a seat on the NCS Board and I look forward to seeing Ryan make this role his own. After 15-years of leading this company, I've had the honor of working with some amazing people at NCS and we'll certainly miss that, but it's time for me to move on to the next chapter of my life. And with that, we welcome any questions.
Operator:  And you do have a question and that question is from  (ph). Bill, your line is open.
Unidentified Analyst: Hey, guys. Bill Austin here, congratulations Ryan on the new gig.
Ryan Hummer: Yes. Thank you, Bill.
Robert Nipper: Good morning, Bill.
Unidentified Analyst: Hey, so just one thing, I know you talked a lot about it, but if you could give a little bit more color on kind of some of the supply chain issues that you're seeing? I know that it's still on the labor side, but anything else you might want to be able to talk about on the supply chain side would be helpful for us.
Ryan Hummer: Yes, Bill. I mean, in some ways, it's pervasive across whether itâd be steel, which is the main component that would go into the  for our fracturing systems, product line and some of our well construction products around things like seals and elastomers and other components that go into our products as well. And we're seeing some increases there, but also just increased lead times and getting those materials. So we're taking a number of approaches to that certainly on the front-end we're looking to get pricing increases with our customers to offset or more than offset the cost increases that we're seeing. We're also working to qualify additional vendors where we are seeing lead times becoming more of a challenge. So that the joint effort between our engineering group and our manufacturing and supply chain team to make sure that we can quickly qualify new vendors to be in a good spot there and look to reduce costs and improve deliverability. And then we're seeing it across other pieces of business as well. Transportation, freight, you name it, it is pervasive across the industry. I think we've started to see a little bit of relief at the very highest levels. But as far as the components that we require for our business, I think our industry requires generally managing the supply chain is a probably the highest priority challenge that we have facing us today.
Unidentified Analyst: Great, thanks. And then it sounds like you guys were getting some of the price increases are sticking if there's any more color you could give on your ability to continue to do that? That would be great.
Ryan Hummer: Sure, Bill. It's a continuous process for us. But one thing that maybe a little bit nuance to our business and we talked a little bit about the first half and the second half and the way those benefits flow through is the Canadian operations for us tend to be very robust from the third quarter of a given year through the first quarter of the next, kind of, the active season. So we are for the most part honoring our pricing commitments with our customers across late â21 into early â22 and then engaging with our customers in the first quarter of '22 and through spring breakup to reset pricing coming out of breakup. So while we were certainly looking to get price continuously in the U.S. and Canada, you'll see the majority of the benefit from our pricing increases really get in the second half of this year.
Unidentified Analyst: Great. Thanks, Ryan. I'll turn it back over.
Ryan Hummer: Thanks, Bill.
Operator:
Aditya Ahluwalia: And your next question is from Aditya Ahluwalia. Yes. Hi, gentlem. This is Aditya from Arrowhead. I just had a couple of questions. The first one is very similar to Bill's second question. I just wanted some color because you said in your comments earlier that you are able to pass some of the price hikes in your supply chain onto your customers and then there is also some margin pressure, because of that. So just wanted some color around how flexibility -- how much flexibility are your clients showing in your discussions with them to shoulder these price hikes? And do you expect this pressure on margins to continue going forward? So that is my first question. And the second question I had was you said that a lot of your U.S. growth will probably be attributable to an increase in market share of some of your products. Could you please -- could you just give us some color on which products you're expecting to really get the market share increase in? And I mean, what kind of growth are you expecting to various product lines, if you could just comment on that?
Ryan Hummer: Sure. I'll start with the first one around supply chain and cost pressures. And we see pricing -- or sorry, cost pressures continuing I think the rate of change is starting to moderate, which is a positive, because as we implement pricing increases, we're able to catch up more quickly. So I think you'll see a couple of quarter lag where the cost increases really outweigh our ability to benefit from the pricing increases. But as supply chain challenges moderate and inflation moderates, we think we can cash back up and get a margin profile similar to what we had before inflation really started to impact our business, which -- the biggest impact started in the middle of 2021. So I think we'll be able to recover there, but there may just be a bit of a lag. The discussions with the customers are constructive. Obviously, they're seeing inflation in their business and the other categories where they're purchasing. Those discussions are never easy, but I think our customers are certainly aware of the cost pressures that we are facing. And for example, I had mentioned that steel costs are a big input for us. Our customers see that with their casing, they see that with drill pipe, they drill that with other steel based products. So we're certainly not alone in approaching our customers to increase our prices to be able to offset the cost pressures that we're seeing. In the U.S. turning to your second question, I'd say there are a couple of distinct areas where we're seeing some good share benefits. The first is that new perforating product line that we have within Repeat Precision, the Purple Fire business. We had very, very minimal revenue from that product in 2021 as we are just introducing it. We've moved rapidly through the field trial process. We have a good partner that we're working with there and have been able to get out there and have good activities through our trials, and we expect to continue to increase our revenue from that product line through the end of the year as we move to -- eventually move that out of field trial status and move it into a fully commercial product line. In addition, we've had some new product introductions within our well construction portfolio, which are starting to get some good traction. And then our traditional fracturing systems business in the U.S., we've seen a pickup in customer activity there that started in the second quarter, which we expect to continue into the second half of this year. Robert mentioned a few of the areas earlier in the call with applications in Alaska, the Powder River Basin and the Mid Continent. So activity there is starting to pick up for us, which is a nice benefit as well.
Aditya Ahluwalia: Thanks, Ryan. Thanks for those comments. That's certainly useful information. Good luck with your new role. And Robert good luck with your future endeavors.
Robert Nipper: Thank you.
Ryan Hummer: All right. Thank you, Aditya.
Operator: And there are no other questions at this time. Do you have any closing remarks for us?
Robert Nipper: Yes. On behalf of our management team and our board, we'd like thank everyone on the call, including our shareholders and the research analysts who cover NCS and especially our employees. I truly appreciate the tremendous work and dedication demonstrated by our team here at NCS and Repeat Precision. We're only as good as our people and I believe we have the best team in the industry. Our team continues to provide excellent service to our customers and is developing new products and services that will enable our customers to be more successful. We believe we are in a favorable multi-year cycle for our industry with strong fundamental supply and demand dynamics paired with a measured and disciplined approach to growth. I'm excited about how NCS is positioned to participate in that growth and deliver the benefits to our employees, customers, shareholders and other stakeholders. We appreciate everyone's interest in NCS Multistage and we look forward to talking again on our next quarterly earnings call. And that concludes our call today, operator.
Operator: Thank you. And this concludes today's conference call. Thank you for participating. You may now disconnect.